Operator: Thank you for standing by and welcome to the Fourth Quarter 2021 Codex DNA Earnings Conference Call.  I would now like to hand the conference to our Director of Investor Relations, Richard Lepke. The floor is yours.
Richard Lepke: Thank you, Carmen. Good afternoon and thanks for joining us for Codex DNA’s fourth quarter 2021 earnings call. With me on the call today are Todd Nelson, our Chief Executive Officer; Dan Gibson, our Chief Technology Officer; and Jennifer McNealey, our Chief Financial Officer. Our fourth quarter press release is available now on the Investors section of our website. If you would like to be added to the company’s distribution list, please send an e-mail to ir@codexdna.com. Before we begin, I’d like to inform you that certain statements we make during the call will be forward-looking, including statements regarding financial guidance, market opportunity, ability to penetrate the market and sign new collaboration and partnership agreements, research and development efforts, including the timing of launch of our products, expectations of our Pfizer collaboration and expectations for growth. These statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied. For more information about these potential risk factors can be found in our annual report on Form 10-K, which we anticipate filing after market close today and in our other filings with the SEC. This conference call contains time-sensitive information and is accurate only as of the live broadcast on March 22, 2022. Finally, any percentage changes we discuss will be on a year-over-year basis unless otherwise noted. With that, I’d like to turn the call over to Todd, Codex DNA’s CEO.
Todd Nelson: Thank you, Rich and good afternoon everyone. We are pleased to share our financial results and business performance for 2021, which was a defining year for Codex DNA and our first year as a publicly traded company. Against the backdrop of the global pandemic, we reported record fourth quarter and full year revenue of $3.1 million and $11 million respectively, representing strong growth rates at 59% and 68% for these periods. We took a number of critical steps during the fourth quarter to lay the foundation for the next phase of our growth. We signed an important early access collaboration and licensing agreement with Pfizer. This agreement contains several development and commercial milestones that, if achieved, will generate significant high margin revenue for the company. We continued to make outstanding progress in our innovative SOLA enzymatic DNA synthesis program, which I will expand on in a moment. We closed on the highly strategic acquisition of Eton, which supports the launch of our internal oligosynthesis platform in the fourth quarter of 2022. And finally, during the quarter, we added more than 20 new members to the broader organization in critical areas of commercial operations and research and development that will position us to scale our organization to meet future anticipated demand for our products, services and technology partnerships. Since we are marking the end of a very productive year, I thought it would be helpful to provide a status report on the company as a whole and expand on how these recent achievements enable us to accomplish our financial objectives in 2021 and how they will position us to be an even stronger company going forward. In December, we announced a very exciting and financially significant early access collaboration and licensing agreement with Pfizer. This agreement is centered around our leading next-generation SOLA enzymatic DNA synthesis technology, which Pfizer plans to use in its workflows for the development of mRNA-based vaccines and biotherapies. Pfizer has the option to exclusively license our SOLA technology for two therapeutic indications and has broad non-exclusive access to the technology for any other mRNA-based vaccines or therapeutic indications. This strategic partnership is a strong validation of our cutting-edge SOLA platform. And over the next few years, we believe the results of this collaboration can potentially accelerate the time to market for several of Pfizer’s vaccines and therapeutics, while providing us with access through royalties to very large and rapidly growing end markets, including vaccines and biologics. As a market leader in the mRNA space, Pfizer is an ideal partner to help us realize the potential of our SOLA and BioXp automation platforms. We are extremely excited about the potential impact of this agreement for both parties. For investors, we think it’s important to understand the key financial terms of the deal, which I will touch on briefly before moving on to describe the longer term strategic importance as it relates to our go-to-market strategies and the progress we have made with our innovative technology platforms. The financial terms of the agreement include an upfront payment of $8 million, which we have received, along with success-based technical milestone payments of $10 million that could be earned over the next 2 to 3 years. Jennifer will expand on the timing of the expected revenue recognition of these payments once you discuss its 2022 financial guidance later on the call. Additionally, we are eligible to receive payments resulting from the successful achievement of clinical development and commercial milestones. For the two exclusive indications, the clinical development milestones can total up to $55 million and the commercial milestones can total up to $180 million per product. Similarly, for nonexclusive applications, the clinical development milestones can total as much as $35 million and the commercial milestones can total up to $60 million per product. We are also uniquely entitled to receive escalating royalties based on net sales of products. We believe this is a transformative partnership for Codex DNA and importantly, offers the potential to accelerate the time to market for new and innovative mRNA vaccines and therapeutics, while at the same time, providing us with significant financial returns through access to rapidly growing end markets for biologics and vaccines. As mentioned briefly during my earlier remarks, should we successfully execute on the terms set out in this agreement, and Pfizer successfully develops and commercializes only to of the licensed products, the resulting milestone payments and royalties could total more than $500 million. The magnitude of the financial terms of this partnership speaks to the immense value of our SOLA EDS technology and the potential benefits we can provide to partners such as Pfizer. As an example, on Pfizer’s recent fourth quarter 2021 earnings call, management estimated that approximately a third of the development time for an mRNA flu vaccine is related to the front-end mRNA production process. And they described how our SOLA technology has the potential to reduce that process from approximately a month to a matter of days, resulting in a one-third reduction in the amount of time to get a new vaccine to market. We believe that this improvement to the development process could allow Pfizer to stay ahead of future infectious disease variants, select optimal strains closer to the start of the flu season and potentially improve the efficacy of new vaccines. Moving forward, this deal also paves the way to new important strategic opportunities related to our go-to-market strategy. We aim to continue to vigorously pursue additional value-added partnerships that can leverage our strong intellectual property portfolio and proprietary technologies. This includes all of our product and technology categories such as the BioXp automation solution for DNA, mRNA and protein synthesis and our VMAX platform for the efficient and large-scale cloning and scale-up of DNA. Our business development and leadership teams continue to cultivate relationships with potential partners, and we intend to establish additional agreements with both new and existing customers. Our go-to-market strategy can be broken down into three distinct categories. First, our biopsy automation platforms and portfolio of consumable products, including Gibson Assembly kits and an increasing catalog of synthetic genomes which are also globally through both direct and distributed sales channels. Second, our biofoundry services, which now includes part of Eton Bioscience and leverages those same direct and distributor channels to provide customers with BioXp-enabled services and solutions. Third, value-creating partnerships, which build on our technology portfolio, intellectual property and technical capabilities to support customer needs while giving us access to substantial end market economics. We continue to execute in all 3 areas to drive long-term sustainable growth and create maximum value for our customers and our shareholders. As a reminder, our mission is to apply breakthroughs in automation solutions for synthesizing DNA, mRNA and proteins to allow scientists to both program and write biology that creates novel health care, technology solutions for some of humanity’s biggest challenges. This is all made possible thanks to the incredible work being done by our R&D teams who are developing paradigm-shifting future platforms such as our SOLA EDS technology. SOLA is a proprietary enzymatic synthesis platform based on a DNA ligation and amplification approach that is used to build oligos from mega stock universal libraries of short DNA building blocks. We believe that this approach is the ideal solution for the synthesis of longer fragments of DNA, mRNA and protein at the benchtop due to its advantages in fidelity, buildability, scalability and cost. We expect our approach to building oligos using SOLA will result in higher-quality products compared with other enzymatic DNA synthesis approaches. Additionally, because of our proprietary manufacturing process, we believe there are significant cost and quality advantages over potential competing technologies such as terminal deoxynucleotidyl transferase or TDT-based chemistries. During the fourth quarter, we advanced our SOLA development program. We can now reliably and economically generate high fidelity DNA oligos of 20 to 100 base pairs at the benchtop. Importantly, we subsequently demonstrated these oligos can then be efficiently assembled using our BioXp instrumentation into full link synthetic genes and mRNA template of up to approximately 3.9 KB or 3,900 nucleotides in length. We believe our technology is the leading approach for building high fidelity, longer segments of DNA using enzymatic DNA synthesis technology. In the fourth quarter, we also successfully built protein starting from DNA oligos generated using our SOLA technology and BioXp instrumentation. This new development is an exciting achievement that has the potential to open up new addressable markets such as cell-free protein expression for SOLA and BioXp-automated solutions. I am extremely confident in our future, given the talent within our R&D organization and throughout our entire company. We recently announced that we will be sponsoring an R&D Investor Day on March 29, which will be focused on SOLA and enzymatic DNA synthesis. We encourage you to join us for this exciting webinar. Looking at the rest of our technology pipeline, we are pleased to report that we are on track with the early development of our advanced automation platform referred to as the BioXp digital to biological convert or DBC system. This system is enabled by the assembly and integration of the upcoming BioXp 9600, our higher throughput synthetic biology automation platform and the SOLA synthesis technology on our BioXp oligo printer. The BioXP 9600 is designed to have approximately 3x the throughput compared to the BioXp  of 2022. Our SOLA-enabled biopsy oligo printer is on track for commercial launch in 2023. The instrument will be sold as a standalone benchtop instrument or it could be integrated into the 9600 installed base to make possible our vision of the DBC, enabling the on-demand printing of desktop biology. We are also pleased with BioXp kit development. We launched our second small-scale mRNA kit for the BioXp this time featuring industry-leading clean cap technology. This product will give us access to additional customer segments for mRNA synthesis and positions us as an ideal small-scale rapid synthesis platform that we envision being adopted within the REO screening markets. We intend to continue to round out our mRNA product line, commercialization of a rapid scale mRNA kit launching in the second half of 2022. This kit prior to being made available on BioXp automation platform will be released through our biofoundry services group. This format of mRNA will support both the synthesis of higher quantities and longer fragments of mRNA and positions our franchise as a leading potential supplier of high-growth workflows such as vaccine development that typically require larger builds. We believe that our BioXp mRNA synthesis kits, including the ARCA and clean cap capping technologies will cover a significant portion of the market for the rapid synthesis of mRNA. And finally, we expect to launch our BioXp protein synthesis kit in the second half of 2022. We anticipate that this kit will enable broad adoption with the small-scale production of research-grade proteins for several workflows especially those for biologics discovery and development. Switching gears now, I’d like to touch on our recent acquisition of Eton. We closed on the transaction in late November, and we are excited to have the Eton employees as part of our team. During our third quarter call, we discussed why we believe the deal is an excellent strategic fit. By way of review, we believe Eton is positioned to help us accomplish the following objectives: Eton will support our strategic collaborations such as the Pfizer partnership; increase our customer reach, providing us with access to large customer base within the academic research market; expand our commercial offerings to include oligo and DNA sequencing services; secure a portion of our raw material supply; and finally, provides opportunities to significantly improve our gross profit margins over time. Eton has important technical expertise that can potentially accelerate some of our R&D efforts associated with the SOLA EDS programs and provides critical support for our Pfizer partnership. Notably, Eton will pay a crucial role moving forward as we execute our obligations under our agreement with Pfizer, and it helps to de-risk our future R&D and collaboration efforts. Overall, we’re thrilled to have closed this acquisition in the fourth quarter and firmly believe this deal was the right thing to do for the company and our shareholders due to these clear synergies. Moving on, Jennifer will expand on our full financial results and provide guidance for 2022. But before she does, I would like to briefly discuss our commercial results in the fourth quarter. We had another solid quarter with overall growth of 59% compared to the prior year period. However, like many companies in our sector, we did experience headwinds in the quarter related to the emergence of the COVID-19 Omicron variant. The impact of Omicron affected our ability to meet with certain customers on site and to ship, place and install BioXp instrument. This resulted in fewer shipments than we had anticipated. During the past few months, we also had many employees out with COVID-19, which affected a broad array of operating functions. Now that being said, we do believe the worst of the COVID-related commercial disruptions are behind us. And the fundamental drivers of our demand projections for our BioXp 3250 system remain intact. Our customer funnel is very promising as we enter 2022. Our customers continue to recognize the benefits of the BioXp platforms and the demand outlook remains strong. We ended 2021 with nearly 200 instruments in our installed base, which means we placed approximately 50 instruments for the full year. Overall, we believe we are in the very early stages of product adoption for our BioXp 3250 instrument. Finally, we continue to respond to customer demand with the release of a full-length synthetic genome for the highly infectious Omicron variant of the SARS-CoV-2 virus. Synthetic genomes can be used by researchers to generate breakthrough therapies and vaccines and to develop new diagnostics to help detect, contain and slow the spread of highly transmissible variants. The release of this full genome continues to serve as validation of our technical capabilities and scientific expertise in complex DNA synthesis and assembly and demonstrates our commitment to providing innovative products that accelerate research and simplify the discovery and development processes that make a positive impact on our world. With that, I will pass the call over to Jennifer to review our financials and discuss 2022 guidance.
Jennifer McNealey: Thank you, Todd, and good afternoon, everyone. Detailed financial results for the current quarter were included in today’s press release. In my remarks today, I will briefly review our financial results and provide our initial financial guidance for 2022. Codex DNA is well capitalized with cash and short-term investments of $82.8 million as of December 31, 2021. This excludes an $8 million upfront payment from Pfizer, which we received in January. Revenue was $3.1 million for the fourth quarter 2021, a 59% increase in total revenue from $1.9 million for the same period in the prior year. This strong growth was driven by BioXp kit, biofoundry services and contributions from a partial quarter of Eton revenue, which was about $0.5 million in the quarter. Royalties and other revenue also grew due to revenue related to the Pfizer collaboration agreement, which commenced in December. Cost of revenue for the fourth quarter of 2021 was $2.2 million compared to $1 million for the same period in the prior year. The increase of $1.2 million was primarily driven by increased sales resulting in higher raw material costs associated with sales of reagents and biofoundry services, increased shipping and logistics costs and increased personnel and departmental expenses as we are investing to support future growth. We recognized a quarterly decline in gross margin percentage in the fourth quarter compared to the prior period, and I’ll discuss our continued strategy to improve gross margin when I speak about guidance for 2022. Operating expenses were $13 million for the fourth quarter of 2021 compared to $6.1 million for the same period in the prior year. This increase was driven by headcount expansion across our business, primarily in commercial, R&D and G&A organizations. The increased personnel expense relates to sales and marketing efforts, increased product development efforts and hiring of new leadership and professional support staff. Other expense increases, including professional services, R&D material costs and facility and insurance costs. Net loss was $12.5 million for the fourth quarter of 2021 compared to $5.6 million in the same period in the prior year. Net loss per share was $0.43 for the fourth quarter of 2022 compared to a net loss of $1.12 for the corresponding prior year period. Now I’d like to cover our initial financial guidance for 2022. We’re investing in the future and anticipate 2022 will be an excellent year for Codex DNA overall. We anticipate total revenue of $19 million to $21 million in 2022, which translates to a robust growth rates between 72% and 90%, respectively. I will now provide some additional context that should help clarify our expectations across the business and the quarterly profile of our forecast. From a BioXp franchise perspective, we expect to place a similar number of 3250 instruments to the approximately 50 units we placed in 2021. However, we expect the first two quarters of the year to be in the low double-digit instrument placements per quarter, in the back half of the year to be in the mid-teens per quarter as momentum builds throughout the year. As it relates to the BioXp 9600, we are currently projecting a fourth quarter commercial launch. The BioXp 9600 will have a higher price point compared to the 3250, and we expect to place mid to high single-digit instruments in 2022. From a BioXp kit and biofoundry services perspective, we are forecasting a similar level of sales in the first quarter as we had in the fourth quarter, followed by a steady ransom growth, each subsequent quarter of 2022 as customer utilization increases and our menu of BioXp kit and service offerings expand. From an Eton perspective, we expect inorganic contribution of approximately $5 million of sales in 2022. Our expectations for Eton sales reflect an intentional strategy to allocate Eton’s resources and manufacturing capacity in the near-term toward our own internal raw material supply to invest in oligo production and R&D efforts in support of the Pfizer collaboration. Starting in the fourth quarter of 2022, we believe that Eton can begin scaling up production of oligos, which should reduce our raw material costs within several product lines and provides significant accretion to gross margins as we ramp up production into 2023. In the long run, we intend to fully integrate Eton’s operations into our biofoundry services offering and we believe Eton’s legacy business will grow steadily as part of our combined services organization. As it relates to the Pfizer deal, there are two important factors to consider related to 2022 guidance. First, the $8 million upfront payment that we have received from Pfizer will be recognized as revenue on a straight-line amortized basis over an approximately 2 to 3-year period. Second, our guidance does not assume we achieve any additional technical milestones related to the $10 million of success-based technical milestone payments Todd discussed. Predicting the timing of these milestones is uncertain, and we felt it was prudent not to include an estimate in our guidance at this time. As we make progress on our collaboration with Pfizer throughout the year, we intend to provide updates on our expectations for any additional partnership milestone revenue in 2022. Continuing down the P&L, we forecast 2022 gross margin to be in the low to mid 40% range, which would represent a significant increase compared to 2021. A factor influencing our gross margins is our mix of product and collaboration revenue, and we expect some gross margin benefit due to the contribution of the amortized upfront payment from Pfizer. Additionally, there are a couple of important factors to consider as you build your forecast. We expect our gross margin percentage to be in the low 40% range early in the year and to steadily improve in the back half of the year. In the fourth quarter of 2022, we are expecting to begin seeing some benefits from our oligo supply ramping up at Eton. Operating expenses, which includes R&D and SG&A are expected to be approximately $70 million for 2022 as opposed to $40 million in 2021, reflecting increased investments in our SOLA enzymatic DNA synthesis program and BioXp oligo printer, expansion of our commercial sales organization, and the annualized impact of increased personnel costs across the organization. Our R&D expenses for the year are projected to be $31 million, up from $14.6 million in 2021. As you update your forecast, let me remind you that macro uncertainty remains higher than normal. While our visibility has improved compared to several months ago, we would still encourage you to model at the middle of our ranges, which incorporate both potential upside and downside. And with that, I now turn the call back over to Todd.
Todd Nelson: Thanks, Jennifer. Before opening the call for questions, let me conclude by saying that our fourth quarter capped off a very successful year for the company. We are encouraged by continued strong commercial execution, the progress within our R&D pipeline in the partnership with Pfizer we’ve completed. Looking ahead, 2022 will be a year focused on new product launches, furthering new and existing partnerships, growing market share and investing for future success. We continue to invest in talent, technology and processes to drive long-term sustainable growth. Overall, we feel confident in our foundation heading into 2022, and we look forward to executing towards our vision to address some of the world’s greatest challenges. And with that, I will ask the operator to open the call for questions. Thank you very much.
Operator:  Our first question comes from Brandon Couillard with Jefferies. Your line is open.
Brandon Couillard: Hi. Thanks. Good afternoon Todd and Jennifer. I appreciate all the details around guidance for ‘22, is certainly helpful. On one hand, I think you could perhaps make the case that the revenue outlook, probably skews somewhat conservatively, given kind of the incremental contribution from Eton maybe a little bit from Pfizer kind of full year impact of some of the kit launches. Can you still help us understand how you are thinking about some of the components of growth where you see kit utilization or utilization per box kind of evolving to over the course of the year? And Jennifer, could you just revisit the Eton outlook. So, just if I understand this right, you are basically allocating some internal resources just dedicated to Pfizer. And so that’s the reason for maybe the slightly lower revenue outlook compared to maybe what we were thinking. Is that right?
Todd Nelson: Yes. Hey Brandon, this is Todd. I will take that first part, and then I think have Jennifer jump in, and I will start with the latter part of your question first, and thanks for the question. I think as it relates to Eton, the idea there is that they have got critical capabilities from an operating perspective that, to your point, we – and I wouldn’t say it pivoted, but it temporarily reallocated to help us meet the objectives that we have with the Pfizer agreements. They have got a critical path there that helps us to manage that agreement. The other thing is that they have got also like the DMT synthesis capabilities that we are targeting to launch in the fourth quarter, which is really, really important to us because we want to have a path and we do to improving gross margin. So, it’s a, temporarily we have allocated some resources from Eton. We are confident that, that business can grow. You should anticipate that that business can grow. But if there is a difference between, I think what you are expecting and what we communicated would be due to that slight intentional strategic pivot to address two issues that we think are really critical for the business and that are significantly stronger drivers of near-term revenue. And then I will answer the first part of the question and then hand it over to Jennifer some of the details. I think the installed base is growing well. And every instrument that we get out there, we learn a little bit more about. I think what we are finding out is that instrument utilization varies customer-to-customer. And I think that we are very proud, I think to say that the kit growth rates from a revenue perspective, I think in the third quarter, we said they nearly doubled over the trailing 12 months period. They were a little bit less than that in the fourth quarter. But we are still experiencing really, really strong growth rates for the DNA and mRNA products. So, as the installed base grows and you spread that dollar utilization rate across the installed base, I don’t think it’s a great metric. As we have said in the past, we do have customers that are putting the cost of capital through the system. And I think with the launch of the 9600, which is a much higher throughput system, and goes into a different customer segment that being higher throughput, pharma and biotech, we fully expect that that cohort of instruments will have a much higher utilization rate? Jen, anything to add?
Jennifer McNealey: No, I think you pretty much covered it. We are really pleased with the Eton acquisition and the strategic addition that it’s adding. And yes, and we are on track to ramp our oligo production there in the fourth quarter of this year and that’s really exciting as well.
Brandon Couillard: Got it. Okay. And post the Pfizer deal announcement, I am just curious whether that has changed the tenor of your conversations with other biopharma clients or perhaps stimulated new interest in the platform from non-current users? Any anecdotal color along those lines?
Todd Nelson: Yes. Brandon, it’s a great question. And I think that the Pfizer deal really signaled for us and I believe for investors too, that the SOLA platform that we have when combined with the DBC is really a powerful combination and offering. And I think that we worked really hard on that deal to make sure that the value proposition of what we have is brought to bear in the agreement. And we saw that through our ability to access end user economics, which I think is unique. And so that deal, that partnership, I think is very important. And so did it change the tenor of our conversations with people, I would say, for sure, it did because I think being able to do a deal like that for a company like us with a great technology stack, but to be noticed by Pfizer and their internal team as a core member of their technology platform going forward that can help them maintain their mRNA leadership position. I think it was important, and we are certainly working hard with other potential collaborators to do that. So, I would say, yes, the interest level in SOLA is very high and the development progress that we have made on the DBC is consistent with our time line.
Brandon Couillard: Got it. Okay. And last one for me. Any chance you can maybe quantify the revenue impact from COVID in the fourth quarter, perhaps how many installs, it may have pushed out into ‘22 and your level of confidence kind of in the pipeline launches slated for the second half of this year? Thanks.
Todd Nelson: Yes. So, let me start with the latter part of the question on the pipeline launches. We are still targeting – there has been a slight delay in the 9600 due to some supply chain issues, but we are very confident that we can get that done in the second half of the year. And I think that’s going to be a great product launch for us. And from a unit volume perspective, that combined with the 3250, I think gives us a very healthy unit volume growth rate. So, I think as Jen mentioned in her comments, we are expecting conservatively low to mid-single digits for the 9600, that combined with the math that you can kind of back into around the 50 systems being placed puts us at, I think a healthy growth rate for the overall unit volume. As it relates to the mRNA programs, the rapid scale launch is also scheduled for the second half of the year, and we have got a high degree of confidence that we will be able to hit that milestone as well as the protein launch. We did combine two mRNA kit launches into one, which has had the impact of slightly delaying the initial kit launch that we initially, as you may recall, had something called the rapid scale and then the large scale. Those two products have been combined into one based upon continued voice of customer and specification. So, we are going to market now slightly delayed, but we think with a much better product and have a high degree of confidence in being able to hit those milestones.
Jennifer McNealey: I can take that one. So, COVID-related delays, it definitely did delay the shipping and installation of a number of machines into Q1, and we are guiding low-double digit instrument placements in Q1 and Q2 with mid-teens in the latter half of the year in Q3 and Q4. And that said, operationally, we really feel that COVID interruption is behind us.
Brandon Couillard: Great. Thank you.
Todd Nelson: Thank you.
Operator:  Our next question is from Paul Knight with KeyBanc. Your line is open.
Paul Knight: Hi guys. Could you go over your total – your installed base as you wrapped up the year? Are you going to catch that?
Jennifer McNealey: Approximately 200.
Paul Knight: And then your kit revenue, you said was basically down sequentially?
Jennifer McNealey: Our kit revenue was down – are you asking quarter-over-quarter?
Dan Gibson: So, what Todd said is that we grew at a slightly lower rate than we did in the third quarter. So, you might recall that in the third quarter, kits a little bit more than doubled on a year-over-year basis. In the fourth quarter, the growth was really robust on a year-over-year basis, but just slightly less than that doubling rate.
Paul Knight: Okay. Got it. And then – sorry, go ahead.
Todd Nelson: This is Todd, Paul. So, I think the other thing I would add on the installed base is we are really seeing good traction with mRNA customers on the 3250. So, as we have gotten out into the market with the CleanCap products, we have learned a lot I would say the majority of our revenue is still DNA, but we are very encouraged by the customer engagement around the mRNA product. And I think that the additional product launches that we have into that even growing installed base, I think will be highly accretive to the mRNA revenue line.
Paul Knight: And then Pfizer milestone payment, it’s over 2 years to 3 years. Is that correct?
Jennifer McNealey: Yes, that’s correct. That’s the upfront payment, just to clarify.
Paul Knight: Okay. Why the range on that?
Jennifer McNealey: We can get back to you as you model with the exact number of months, if that’s easier.
Paul Knight: And then cash outlay for Eton was what?
Jennifer McNealey: It was approximately $13 million.
Paul Knight: Okay. Thank you.
Operator: Thank you. And with that, we end our Q&A session for today. I will pass it back to Richard Lepke for his final remarks.
Richard Lepke: Thank you everyone for your time and your attention and your interest, and thank you for joining for our fourth quarter 2020 earnings – 2021 earnings call. We appreciate your time.
Operator: Thank you, ladies and gentlemen. This concludes our program. You may now disconnect. Have a wonderful day.